Operator: Good day, ladies and gentlemen and welcome to the First Quarter 2014 Unitil Incorporated Earnings Conference Call. My name is Jeannette and I will be your operator for today. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] As a reminder this conference is being recorded for replay purposes.
 I would now like to turn the conference over to your host for today, Mr. David Chong, Director of Finance. Please proceed. 
David Chong: Good afternoon and thank you for joining us to discuss Unitil Corporation’s first quarter 2014 financial results. With me today are Bob Schoenberger, Chairman, President and Chief Executive Officer; Mark Collin, Senior Vice President, Chief Financial Officer and Treasurer; Tom Meissner, Senior Vice President and Chief Operating Officer; and Larry Brock, Chief Accounting Officer and Controller.
 We will discuss financial and other information about our first quarter on this call. As we mentioned in the press release announcing the call we have posted that information including a presentation to the Investor section of our website at www.unitil.com. We will refer to that information during this call.
 Before we start please note that comments made on this conference call may contain statements that are commonly referred to as forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include statements regarding the company’s financial condition, results of operations, capital expenditures and other expenses, regulatory environment and strategy, market opportunities and other plans and objectives.
 In some cases forward-looking statements can be identified by terminology such as may, will, should, estimate, expect or believe, the negative of such terms or other comparable terminology. These forward-looking statements are neither promises nor guarantees, but involve risks and uncertainties and the company’s actual results could differ materially.
 Those risks and uncertainties include those listed or referred to on Slide 1 of the presentation and those detailed in the company’s filings with the Securities and Exchange Commission, including the company’s Form 10-K for the year ended December 31, 2013. Forward-looking statements speak only as of the date they are made. The company undertakes no obligation to update any forward-looking statements.
 With that said I’ll now turn the call over to Bob. 
Bob Schoenberger: Thanks, David. I’ll begin by giving a summary of the highlights of our past quarter. If you turn to our presentation on Slide 4, today we announced net income of $12.6 million for the first quarter of 2014, an increase of $1.8 million or 17% over the first quarter of 2013. Our strong first quarter financial results reflect the combination of the colder winter weather in 2014 and the positive impact of steady increases in the number of customers we serve.
 If you turn to Slide 5, we have achieved significant growth and steadily improved financial performance over the past few years by focusing on our core strategies. In our Natural Gas division we’re aggressively adding new customers and investing in the modernization and expansion of our distribution system. Our gas expansion plan has been designed to increase our gas sales by 4% to 6% annually and lead to doubling of our gas rate base by 2016.
 In our Electric division, we continue to make system capacity, reliability, and customer service related investments. And as Mark will discuss later we have implemented cost tracker distribution rate adjustments and recently completed 2 base rate cases for our natural gas utility in Maine and New Hampshire. In those 2 rate cases we achieved $8.4 million in annualized distribution revenue increases.
 And importantly we entered into a long-term rate plan in both states providing for future annual step adjustments to revenue including adjustments we will be making this year for effect on May 1. We believe that the execution of our growth strategies will continue to drive the growth in our financial results into the future.
 On Slide 6. Natural gas continues to offer our customer the best choice of value in terms of its superior efficiency, convenience and low cost compared to competing fuel such as oil and propane. We achieved an industry leading rate of growth in the first quarter of 2014 where we saw an increase of over 3% in net new customer additions which is well above the New England Gas LDC average growth rate of about 1%. This customer growth in addition to the colder winter weather this year contributed to increased gas unit sales of 15% year-over-year.
 We’re making the investments in our gas delivery system to meet the energy needs of a new and rapidly expanding customer base. We provide an update on Usource on Slide 7, our non-regulated energy brokerage subsidiary. Usource has grown its revenues 8% annually over the past few years. In addition Usource continues to demonstrate high customer retention rates and has a forward book of revenues of $8.3 million as of 2013 year end which represents contracts -- revenues under contract to be recognized in future periods. We expect Usource to continue to make an important contribution to our financial results.
 And I’ll turn the call over to Mark who will discuss our financial results for the quarter in more detail and our current rate case proceedings. Mark? 
Mark Collin: Thanks Bob. Good afternoon everyone. As Bob stated earlier, net income increased by $1.8 million or 17% for the first quarter of 2014. On a per share basis earnings were $0.91 for the quarter compared to $0.79 in the first quarter of 2013. Results were positively affected by the combination of colder winter weather in 2014 and the positive impact of steady customer growth.
 Turning to Slide 8, natural gas sales margins were $36.5 million in the quarter, an increase of $6 million or 20% compared to the first quarter of 2013. Natural gas sales margins were positively affected by higher therm unit sales, a growing customer base and recently approved gas distribution rates. Therm sales of natural gas were up almost 15%. They were 12% more heating degree days in the first quarter of 2014 compared to 2013 which we estimate positively impacted earnings per share by about $0.07. Excluding the effect of weather on sales, weather-normalized gas therm sales were estimated to be up 6.4% in the quarter. In addition as of March 31, 2014 total natural gas customers served had grown by 3.1% in the last 12 months.
 Slide 9 highlights our Electric business sales and margin. Electric sales margins were $19.2 million in the first quarter of 2014, an increase of $0.8 million or 4% compared to 2013. Electric sales margins reflect higher electric kilowatt hour sales and recently approved electric base distribution rates. Electric kilowatt hour sales increased 5% compared to the first quarter of 2013.
 Turning to Slide 10 Usource, the company’s non-regulated energy brokering business recorded revenues of $1.6 million in the quarter, an increase of $0.1 million or 7% compared with the first quarter of 2013. Operation and maintenance expenses increased $1.9 million in the quarter compared with the same period in 2013. The change in O&M expenses reflects higher compensation cost of $0.9 million, higher employee and retiree benefit cost of $0.6 million and higher utility operating cost of $0.5 million, partially offset by lower all other operating cost net of $0.1 million.
 Depreciation and amortization expense increased $0.7 million in the quarter reflecting higher depreciation on normal utility plant additions of $0.5 million and higher amortization of previously deferred major storm restoration costs of $0.2 million which is recovered in electric margin through cost trackers. Taxes other than income taxes increased by $0.8 million in the quarter compared with the same period in 2013 reflecting higher property taxes on higher levels of utility plant and service. Last, net interest expense increased $0.6 million in the quarter reflecting lower interest income on regulatory assets.
 Now turning to Slide 11 we have provided an update on our financial results at the utility operating company level. This chart shows the trailing 12 months actual earned return on equity in each of our regulatory jurisdictions. As we’ve indicated in the past we have long-term capital cost trackers in place to recover a significant portion of current and future capital spending. For our New Hampshire and Maine gas operations which I will discuss in more detail on the next slide we expect annualized increases in gas distribution revenue effective May 1 of this year of approximately $1.4 million and $1.3 million respectively.
 Also on May 1 of this year we expect an annualized increase in electric distribution revenue of approximately $1.5 million for our New Hampshire electric operations to recover a substantial portion of last year’s change in net plan. Similarly Unitil’s FERC regulated gas pipeline has an annual rate adjustment mechanism which we project to result in an annualized increase in pipeline revenues of approximately $0.6 million effective August 1 of this year. This will recover capital spending on several gas transmission pipeline upgrade and replacement projects.
 Turning to Slide 12, as Bob mentioned earlier we recently completed a base rate case in Maine providing for a permanent increase in annual revenue of $3.8 million effective January 1, 2014. Importantly this rate case allows for an implementation of a capital tracker mechanism which allows us to recover additions to our growing rate base without the need and cost to find a full rate case. The first step adjustment under this capital tracker is anticipated to go into effect May 1 of this year for an annual revenue increase of $1.3 million and we estimate that the future step adjustments will be in the range of approximately $1 million annually.
 In New Hampshire we recently completed a base rate case providing for a permanent increase in revenue of $4.6 million which we’ve been largely recognizing in temporary rates that were effective as of July 1, 2013. The New Hampshire rate case also provides for a long-term rate plan including the capital tracker mechanism with the first step adjustment anticipated to go into effect May 1 of this year for an annual revenue increase of $1.4 million.
 Turning to Slide 13 in the recently completed Maine and New Hampshire rate cases the rate design was adjusted in both jurisdictions to increase the amount of base revenue collected through fixed customer charges. Thereby reducing the amount that otherwise would have been collected through volumetric charges. Although we will continue to see higher gas margins in the first and fourth quarters and lower gas margins in the second and third quarters this difference will be narrowed some by this change in rate design. For example, in the first quarter with the new rate design at both jurisdictions the fixed customer charge represents 16% of total gas margin compared to 9% in the prior period. As a result margins in the summer period when volumetric usage is typically at its lowest level are expected to increase as the higher fixed customer charge will make up a larger percentage of customer bills.
 Slide 14 summarizes our distribution base rate case filing in Massachusetts for Fitchburg’s electric division. We expect to have the decision on this rate case in the second quarter of this year, the filing contained a revenue deficiency of $6.7 million which includes an annual collection of $2.1 million to recover major deferred storm costs that occurred in 2011 and 2012. Additionally the filing includes the major storm reserve fund of $2.8 million to address the cost of future major storms. This requested increase in rates will be offset by a decrease of about $13 million to the transition charge by the end of 2014 which will offset the requested rate increases on customer bills.
 Now this concludes our summary of our financial performance for the period. I will turn the call over to the operator who will coordinate the questions. Thank you. 
Operator: [Operator Instructions] And your first question comes from the line of Liam Burke with Janney Capital Markets. 
Liam Burke: Directionally could you give us a sense as to where CapEx is going and how the return profile on your incremental projects are looking? 
Mark Collin: Yes, in terms of CapEx in our financial disclosures we’ve indicated that our projection for the current year is about $91 million of total capital spending. The -- in terms of our tracker mechanism that we’ve talked about a good percentage of that is related to either net plan additions at our electric utility in New Hampshire where we get a large portion of that recovery through a tracker mechanism or, in the case of the gas expenditures, we have the cast iron replacement and some Maine expansions related to customer growth where we’re going to be getting capital recovery and all that capital recovery is essentially at our full cost of capital. So we get -- without the need for a rate case we’re able to earn a full cost of capital on that rate base addition or those capital expenditures. 
Liam Burke: Okay. And what does the runway look like for future projects? Are you going to be I mean for the foreseeable future, do you see continued growth there? 
Mark Collin: We do particularly in the gas business I think we’ve talked quite a bit about the gas business and we continue to ramp up our customer adds and adding a number of not only a number of customers but a number of large customers and large loads which are really giving us an opportunity to add margin and sales faster than the number of customers we’re adding because the size, the average size of the customers that we’re adding are fairly large and are significant additions. In addition on the electric side we have some major projects planned relative to system capacity and reliability improvements that will continue to grow that rate base at a fairly good clip. 
Bob Schoenberger: Liam if your question what is our total capital expenditure outlook look like, I’d say the current capital budget is about where we think we’d be maybe a little lower. We do have a number of one-time projects in the capital plan for the next couple of years including the 2 substation projects that Mark talked about plus our new CIS system, so in terms of total spending that where we will be that where we are this year. 
Operator: [Operator Instructions] And at this time, it seems we have no further questions. I would now like to turn the call back over to Mr. David Chong for any closing remarks. 
David Chong: Well, thank you very much for joining us for our first quarter conference call. We look forward to discussing our next quarter with you in a couple of months. Thank you. 
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.